Operator: Hello, ladies and gentlemen. Thank you for standing by. Welcome to Artisan Partners Asset Management’s Fourth Quarter 2014 Earnings Conference Call. My name is Emily and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, management will conduct a question-and-answer session and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. At this time, I will turn the call over to Makela Taphorn with Artisan Partners.
Makela Taphorn: Hi, everyone. Before we begin, I would like to remind you that our fourth quarter earnings release and the related presentation materials are available on the Investor Relations section of our website. I would also like to remind you that comments made on today’s call and some of the responses to your questions may deal with forward-looking statements and are subject to risks and uncertainties. Factors that may cause our actual results to differ from expectations are presented in the earnings release and are detailed in our filings with the SEC. We undertake no obligation to revise these statements following the date of this conference call. In addition, some of the remarks this afternoon include references to non-GAAP financial measures. You can find reconciliations of those measures to the most comparable GAAP measures in our earnings release. And with that, I’ll now turn the call over to our Chief Executive Officer, Eric Colson.
Eric Colson: Thanks, Makela. Welcome to the Artisan Partners Asset Management business update and quarterly earnings call. I’m Eric Colson, CEO and I’m joined today by C.J. Daley, CFO. Thank you for your time today and I hope you find this discussion useful. The end of 2014 marked our second year as a public company. More importantly it marked the 20th Anniversary of our firm. Having been in business 20 years, if we have learned anything, is that quarterly and annual business outcomes are less impactful to our success than the long-term strategy and philosophy. During this discussion, I will review our results for the quarter but emphasize the year. I’ll reinforce how the business development that occurred over those short time periods aligning with our long-term strategy and future plans. Once I am done, C.J. will take the lead and walk through our financials. On the firm’s fact page, page 2 of the presentation, I’ll make just two quick comments. First, our overall AUM increased nearly $108 billion at the end of the year from $106 billion at the end of the third quarter. This change was largely a result of market appreciation. Our net client cash outflows partially offset market gains, I will discuss that further later in the presentation. The second item worth noting is our distribution channel pie-chart. Last year we discussed our logic behind reporting three broad channels instead of the five channels that we historically reported. We are now consolidating the former financial advisor and broker dealer channels as the intermediary channel. And we rolled the defined contribution channel into our institutional channel. The retail channel remains unchanged. We believe these updated classifications are more appropriate representation of our client base and align better with our distribution model and team structure. Page 3, highlights the three core principles to define who we are. When our founders established the business plan for our firm 20 years ago, they had a number of perspectives about the investment management business that have shaped our long-term strategy. The first was that we would compete on the merits of our investment acumen. We would not compete on price distribution strategy, market spend or a myriad of other things. In short, we would be an investment firm, first and foremost. A second perspective was a recognition that the investment management industry is a talent business. Our assets would be our people. We would have to rely on our investment talent to provide a differentiated offering. This shaped our autonomous team structure and drove the decision to have distinct business management team, central operational structure and aligned business development efforts. We believe that this has allowed our talent to focus on investing, placing them in the best position to succeed. Finally, we have always sought to manage and grow the business thoughtfully, so right clients, asset diversification and financial discipline are principles that ensure we prioritize the investment process. By applying those principles we have been able to grow while maintaining the integrity of our business model. Our business has evolved over the past 20 years but the general perspectives that shaped our business strategy at the founding of the firm have remained intact. We are a high value added investment firm designed for investment talent to thrive in a thoughtful growth environment. Over the next three pages, I will spend time reviewing our long-term investment results. On page 4, you can see how we analyze investment performance. We look for faithfulness to a stated investment process, solid absolute performance, and attractive performance compared to peers and the index over full cycles. As of December 31, all of our strategies had followed their objectives with integrity and all had positive, absolute return since inception. Seven of our 11 investment strategies with at least a 5-year track record added value relative to their broad performance benchmarks, over the trailing five-year period. All seven of our investment strategies with a 10-year track record added value relative to their broad performance benchmarks. Page 5 adds some additional color to our results by presenting a range of timeframes. As of December 31, more than 80% of our assets were under management wherein strategies outperforming their respective benchmarks over the trailing three-year and five-year periods. Over the trailing 10-year period, 100% of our assets under management were in outperforming strategies. Our one year results reflected the difficult environment for active management broadly. I will elaborate on that in a moment. Our mutual fund peer ratings which are highlighted at the bottom of the page are a great snapshot of how our results translate into industry wide rankings from Lipper and Morningstar. Generally speaking, our teams are performing quite well relative to the peers. While on the topic of peer results, I want to recognize our global value team. For the fourth year in a row, the global value team was nominated from Morningstar’s international stock-fund manager of the year in the U.S. The team previously won the award in 2008 and 2013 and was also nominated for the award in 2011 and 2012, making this the fifth year in the last seven that the team has received a nomination. The continued recognition from a high-quality organization like Morningstar, with its tremendous accomplishment and testament to the team’s efforts and the long-term track record they have produced. On the next page, page 6, I want to spend some additional time talking about the market environment and providing some additional color on our short-term performance results. Let me start by saying that short-term performance outcomes are driven by numerous factors. It would be disingenuous to imply that results are entirely or even mostly impacted by external factors. They certainly haven’t been. But if our teams are maintaining a consistent investment process on occasions, the market environment can cause one or more of our teams to experience what we consider an exaggerated outcome. In 2014, one of the market factors that had exaggerated impact on performance was momentum. You can see by the table on the left side of the page, that in the year when the market represented here as the Russell 3000 was up about 12%, the range of possible outcomes depending on a portfolio of exposure to stocks in the top or bottom momentum quintile was significant. The stocks in the first quintile outperformed the stocks in the bottom quintile by more than 50 percentage points in this example. None of our strategies had either full exposure or no exposure to stocks with momentum characteristics. But some strategies were more skewed than others. Under exposure to momentum stocks have particularly large impact on our U.S. value team most notably in their small and mid-cap value strategies. That team gravitates towards fear and uncertainty when they invest. Result is the team’s new investment ideas are often downtrodden stocks that are often priced near their 52-week lows. Those are not momentum stocks. Market-wide the momentum factor is one of the factors that generally resulted in passive investing realizing better outcomes than active investing over the last year. More money moving towards winners will do that. Another phenomenon that hurt active strategy was the divergence and performance of in and out of benchmark stocks. Active investors tend to look for the best long-term opportunities anywhere. Passive index has just owned the benchmark. Our teams are generally agnostic about whether a holding is in the benchmark or out. When money is flowing into passive strategies, the performance of benchmark names benefit and the relative performance of non-benchmark names suffer. Portfolios with significant exposure to non-benchmark holdings will generally under-perform. This has had an impact on the recent performance of our U.S. value team portfolios and that has had a large impact on the performance of our emerging market team for a while now. Finally, before moving on, I just want to highlight the importance of a full cycle view. Since April of 2009, stocks have consistently trended higher. With the bull market now approaching six years, three and five-year performance results only reflect performance during the bull market. We had set the success of our team’s over full cycle, which should include a bull and a bear market. We believe that’s a more instructive way of assessing investment performance. Take the chart on the right of the page the chart is looking at two time periods, the bear market from April 2008 through March 2009, and the bull market that is extending from April 2009 to the end of 2014. The left column illustrates how managers that were in the top quintile relative to peers during the bear market, has performed relative to peers in the current bull market. And the right column illustrates how managers that were in the bottom quintile during the bear market have performed relative to peers in the current bull market. With exception of the large cap categories at the bottom of the table, managers that retail capital well in the bear market are trailing peers in the current bull market, particularly those that struggle during the bear market. The U.S. small cap value and U.S. mid cap value categories have especially exaggerated differences. What this suggests is the characteristics of the current bull market have not favored managers that perform very well relative to peers in the bear market of April 2008 to March 2009. We believe this further strengthened the case for a full market cycle view when accepting investment performance. Page 7 illustrates the outcomes of our business discipline around asset diversification. The most notable shifts in assets over the year took place across our investment team and client domicile. For the quarter, three of our six investment teams experienced positive client cash flows and four of the teams are positive client cash flows over the full year. It was a strong year for our global equity team due largely to a high level of interest in the team’s non-U.S. growth strategy and early interest in the global small cap strategy. Our growth team also had a solid year due to growing demand for its global opportunity strategy. The global value team was positive but cash flows were muted because the two strategies, they manage are closed. Our U.S. value in emerging markets team experienced flow pressure as performance results impacted some of our asset base on those teams. On the bottom right, you’ll notice the firm’s assets from clients outside of the U.S. continue to grow and representing a larger portion of our client base. Non-U.S. flows were positive for the quarter and year. I’d like to elaborate on this part of the business on the next page. On page 8, we pull together some brief statistics about the evolution of our non-U.S. distribution efforts. As shown on the chart, this is a business we committed to a little over five years ago. We put a strategy in place and had some general goals in mind. But we knew that progress would take time. We don’t believe a distribution strategy can be successfully executed in haste, at least not alone without significant investment. And financial discipline has been one of our core principles since our founding. We believe that deliberate thoughtful decisions result in the best long-term outcomes and we are starting to see that with our results outside the U.S. For several years, we have been knocking on doors and picking up the phone to introduce our brand, directly with potential clients at conferences and through press interaction. In the year when our U.S. distribution results were muted, we see the benefits of all that work. Assets grew, we had solid net client cash flows, our number of relationships increased and we delivered high quality results for our clients. This has been a nice build that reflects our long-term diversification strategy. I look forward to continuing to report our developments overseas as we are just scratching the surface. Turning to page 9 and 10, I thought I would close with thoughts about our capital structure and investment talent. During the quarter and year, our capital structure stayed largely the same. External ownership has shifted with the sale of Hellman & Friedman’s stake to public investors. Employees own about a third of the economics of the business and their accepted liquidity is occurring in a structured way. Many of our founding investors that had the right to sell their interest since our IPO remain significant owners in our business. One change worth reemphasizing is our post IPO equity grant. We have an equity ownership culture at our firm to encourage a long-term mind-set, retain key talent and align the interest of our employees with clients and shareholders. In 2014, we introduced the concept of career shares to compliment awards of standard restricted shares. Standard shares left over a five-year schedule with 20% of the award investing in each of the five years after the grant. This is a traditional structure. For career shares, vesting is similar to our historical rules. In general, career shares only vest upon the satisfaction of both pro-rata time vesting like the standard shares and a qualifying retirement. For a qualifying retirement, the recipient must have at least 10 years with Artisan at retirement, and portfolio managers and named executive officers, must have given us their three-year notice in advance. Other employees receive career shares must give one-year notice in order to have a qualifying retirement. Their acceptance to these terms, now we think career shares will enhance the stability of our firm by increasing our ability to retain our key people. My final page, slide 10 is a quick depiction of our investment teams. 20 years ago, we had one dot located in Milwaukee. As we have grown to six teams over the years, you can see the impact of our business model has had on our locations. We resource our teams in a way that support their unique investment processes. Our decision to allow our teams to establish their franchise where they feel they can do their best work is just one aspect of our investment culture. Each team’s analyst organize in an unique way, each team’s products reflect our work with them to align their investment research with sophisticated investor’s demand and the size of each team’s business is determined by the level at which they believe they can invest most successfully. We have called out our newest team here because we have spent a fair amount of time with Bryan Krug over the last year doing all those things I just mentioned. It has been a unique build-out, just as each of our teams were different build-out, Bryan has established a credit team of three analysts and a trader fully dedicated to the Artisan high-income strategy, which launched in 2014. All team members are located in our new Kansas City office which is the location Bryan selected. We have seen some early asset raising success for the credit team, but we have done so with very minimal involvement from Bryan. He and his team are focused on investing. That concludes my prepared remarks. I will turn it over to C.J. to go through the financials.
C.J. Daley: Thanks Eric. Good morning everyone. The December quarter marked the end of our calendar and fiscal 2014 year. For the year, our results were very strong when compared to the full year of 2013. Revenues for the year were up 21% from calendar 2013, reflecting an increase in average AUM of 21%. Adjusted operating income for calendar 2014, were $371.7 million or 44.9% adjusted operating margin. The first two quarters of calendar 2014 were strong as flows into active strategies were robust and at Artisan we had strong flows from international mandates in the intermediary space. That activity trailed off in the last half of 2014 and we ended the year with two consecutive quarters of modest net outflows. Specifically, we experienced net outflows of $338 million in the fourth quarter of 2014, ending the year at $107.9 billion in AUM. Revenues for the December 2014 quarter decreased $6 million down 3% from September 2014 quarter and up 4% from the December quarter in 2013. Adjusted operating income in the December 2014 quarter was $90.4 million also down 3% from the September 2014 quarter and up 7% from the fourth quarter of 2013. We move into 2015 encouraged by the strong performance and continued client interest in our non-U.S. growth global equity, global opportunities and high income strategies but cautious as performance challenges in several of our strategies remain and the headwinds we experienced in the last half of 2014 continue into 2015. A summary of our fourth quarter and full year 2014 financial results is on slide 11. For the quarter, ending AUM increased 2% to $107.9 billion. The increase was driven by market appreciation partially offset by net client cash outflows of $538 million. Although ending AUM was up during the quarter, average AUM decreased 3% quareter-over-quarter with market depreciation experienced early in the quarter driving the decline. Consistent with the decrease in average AUM revenues for December quarter were $206 million down 3% from revenues in the preceding September quarter of 2014. Our adjusted operating margins for December 2014 quarter was 43.9% which was in with line with our prior quarter’s adjusted operating margin of 44%. Net income on an adjusted per share basis was $0.76 compared to $0.79 per adjusted share in the September quarter. For the calendar year, ending AUM increased 2% to $107.9 billion up from $105.5 billion at the end of calendar 2013. Average AUM however was up significantly in calendar 2014. Average AUM, were 21% to $107.9 billion. Revenue and adjusted operating income correspondently rose 21% and 29% respectively. Our adjusted operating margins for the calendar year was 44.9% up from 42.1% in 2013. Adjusted earnings per adjusted share were $33.17 up from $2.54 in 2013. Yesterday we announced our regularly quarterly dividend of $0.60 per share. This represents a 9% increase from our regular quarterly dividends paid in 2014. Our board of directors also declared a special annual dividend of $0.95 per share which represents a distribution of a remaining 2014 adjusted earnings and some excess cash. Slide 12 details our AUM and client cash flows. Ending assets under management of $107.9 from December quarter were up 2% from September 2014 quarter as we continue to see outflows resulting from institutional clients, profit taking, rebalancing, asset allocation decisions and relative underperformance and certain strategies. In addition, our U.S. mutual funds made their annual income and capital gains distribution in November which resulted in net client cash outflows of $648 million from clients who chose not to reinvest their dividends. These outflows were offset in part by net client cash inflows into our non-U.S. growth and global opportunity strategies with flows coming from both institutions and intermediaries. Looking over a longer period, and as you know we like to stress longer term views and quarterly periods, our December 2014 ending AUM was up 2% compared to AUM at the end of December 2013. Market appreciation contributed $1.7 billion or 1.6% of this growth with the remaining growth attributable to net client inflows particularly strategies managed by our local equity growth and credit teams. We also experienced significant early flows into our global value strategy which is now closed to new investments. Average AUM for the year of $107.9 billion was up 20% from $89.5 billion in 2013. Slide 13 highlights our non-U.S. client AUMs which was $13.9 billion at the end of 2014, up from $13 billion at the end of September quarter and up 17% from a year ago. The increase in non-U.S. client AUM was primarily due to net client cash inflows into our global opportunities strategy as well as market depreciation. Client demand outside of the U.S. remained strong for certain of our strategies particularly global opportunities. Our financial results begin on slide 14. For the December 2014 quarter, revenues were $206 million on average AUM of $106.9 billion. The 3% decline in revenues quarter-over-quarter is in-line with our decline in average AUM but is a 4% increase in revenues from the corresponding December 2013 quarter. We have a handful of clients with performance based fees, most of which accrue on the December quarter. Performance fees on the December 2014 quarter were $700,000 down from $2.5 million in the corresponding 2013 quarter. For the year ended December 31, 2014, revenues were $828.7 million on average AUM of $107.9 billion, up 21% from revenues of $685.8 million on average AUM of $89.5 billion for the year ended December 2013. Our weighted average management fee for the December quarter was 76 basis points and for the year ended 77 basis points. Turning to slide 15. Our adjusted operating margin which excludes pre-operating share-based compensation and other GAAP expenses was 43.9% for the December quarter compared to 44% in the September of 2014 quarter and 42.9% in the fourth quarter of 2013. Our adjusted operating margin declined slightly to a full quarter of equity based comp expense related to our July 2014 employee equity grant. Adjusted net income for the December 2014 quarter was $55.5 million or $0.76 per adjusted share which is a 3% decline from the September quarter and a 1% increase over December 2013 quarter. For the year ended December 31, 2014, our adjusted operating margin was 44.9% up from 42.1% for the year ended December 2013. This increase in adjusted operating margin was a result of higher revenues and a decrease in cash intention and severance expenses, partially offset by an increase in compensation expense as a result of the employee equity awards and incentive compensation, and an increase in distribution and marketing expenses. For the 2014 adjusted earnings per adjusted share was $3.17, up 25% from $2.54 in December 2013 year. Slide 16, highlights our compensation ratio. Our compensation expense in the current December quarter continues to include the amortization of pre-IPO equity compensation which we adjust out of expenses when calculating our adjusted operating margin and adjusted earnings per adjusted share. Our competition expense for the December quarter also includes a full quarter of amortization of our July 2014 equity grants which increased our quarterly expense for post IPO equity awards to $7.7 million as we discussed in our previous earnings call. Also, as indicated on our previous call, we have moved our annual equity grant cycle to a calendar year basis. Accordingly at the end of January, our board approved a pro-rata six-month grant of 621,000 shares of restricted stock to certain members of our investment teams. Including that grant, we expect the total equity based compensation expense to be approximately $8 million in the March 2015 quarter. Beginning in June 2015 quarter, we expect a full quarterly run rate of equity based comp expense to be approximately $9 million. Keep in mind that that run rate includes amortization with respect to 2.5 annual grants since our IPO. Of course the cost of future equity based awards is largely dependent upon the size of future grants and the stock prices at the time of grant. Slide 17 shows our balance sheet highlights. Our balance sheet remains strong. Our cash balance is healthy ending the December quarter at $182.3 million which was down 14% from $211.8 million at December 31, 2013. Our cash balance at December 31, 2013 included a portion of cash proceeds from our IPO offering which we distributed to our special annual dividend paid in the first quarter of 2014. At December 31, 2014, our stockholders equity was $107.5 million, down $25 million when compared to December of 2013, primarily as a result of liquidation of launch equity, a consolidated investment vehicle, nearly all of launch equity’s capital was attributable to non-controlling interest. Our debt remained at $200 million and our leverage ratio was 0.5 times EBITDA. As you are aware, our employee partners are restricted from selling more than 15% of their pre-IPO equity in any one year period. The one year period will reset in March, at which time employee partners will have the right to sell in the aggregate approximately 3.3 million Class-A common shares. They’re not required to selling these shares and we don’t know how many shares they will choose to sell. Depending on employee partner interest, we may consider conducting a coordinated offering similar to the offering we conducted in March of last year, to provide partners with liquidity. The last slide summarizes our dividends. Our board of directors has declared a regularly quarterly dividend of $0.60 per share, this represents a 9% increase from our regular quarterly dividends paid in 2014. Our board is also declared a special annual dividend of $0.95 per share, both dividends, they totaled $1.55 per share payable on February 27, 2015 to shareholders of record as of February 13, 2015. As a reminder, the special annual dividend a year ago includes excess cash rate than the company’s IPO. So this year special annual dividend is less than the prior year due to the absence of that excess IPO cash. Finally, looking forward to 2015, I want to remind you that throughout our history, our growth has been lumpy and has come from certain strategies and teams during distinct pockets of time. We continue to remain focused on growing in responsible and thoughtful manner that prioritizes our investment talent and their investment processes. Looking ahead, we continue to be encouraged by client interest in our non-U.S. growth global equity, global opportunities and high income strategies. Although we will expect we will continue to face headwinds standing from institutional reallocation decisions and relative performance challenges in certain of our strategies. From a financial perspective, for the March quarter of 2015, we expect an increase in compensation expense giving our first quarterly equity grant as well as seasonal expenses such as employer funded retirement and healthcare contributions and payroll taxes. Historically, these seasonal costs have added approximately $3 million to $4 million to our first quarter expense of each calendar year. In addition, we expect to continue our measured investments in technology to support our investment teams, distribution efforts and scalable operations bringing our expected quarterly run-rate for communications and technology to approximately $6 million to $7 million per quarter. Over time, which maybe several quarters or years, we believe these continued investments in our business and talent will be rewarded by long-term growth and AUM and revenues. Our model has been designed for long-term success and it enables us to continue to produce predictable earnings, meaningful returns of shareholder capital and a healthy balance sheet. All of which reinforces our commitment to our investment teams, clients and shareholders. I look forward to your questions. I will now turn it over to the operator for Q&A.
Operator: [Operator Instructions]. Our first question is from Michael Kim of Sandler O’Neill. Please go ahead.
Michael Kim: Hi guys, good afternoon. First, just to follow-up on some of your comments earlier, but just curious to get your current thoughts on trends you may be seeing in the institutional landscape in terms of de-risking or shifting into passive from an asset allocation standpoint? And then how those trends might be impacting your pipeline, or RFP activity, or what you are seeing in terms of sort of decision timelines more broadly?
Eric Colson: Sure, hi Mike, it’s Eric Colson. Yes, our current thoughts are about what they were in the third and the fourth quarter. Now we continue to see the institutional marketplace rebalancing. They still have an interest in passive primarily in the DC space you see more and more passive getting inserted in the target dates to protect the proprietary nature of those funds. And we continue to see some of our clients exploring options to customize, seeing some interest in the middle market area of the DC space or institutional space that is showing some positive signs. But overall, the continued trend is this passive investing. And I think we said on the call, momentum was a big factor last year, being in the index was a big factor and that supported passive returns even more so. Unfortunately we’ve seen these cycles over the years, various factors and trends. And the key for us is holding our ground and not chasing a short-term trend, it doesn’t fit our business model. But we would expect at some point there is a passive side of the equation would fill-up and you’ll see some bounce back in the market.
Michael Kim: Yes, that’s helpful. And then just given sort of the decline in AUM for some of your franchises, just wondering if the teams have maybe started to see better investment opportunities out there, and what some of the potential implications could be for capacity across channels and strategies and possibly reopening some of the strategies to more fully capitalize on some of those opportunities?
Eric Colson: No real change on capacity. And really, if you look at the teams and C.J. mentioned this on global equity and the growth team and the credit team are at really spot right now to capture trends for asset gathering, especially global equity and global opportunities, if you marry that with our overseas distribution, the credit teams and the early cycle there. The global value team is closed. We don’t see any reason to reopen there and really leave the US value team in the emerging markets. The U.S. value team, when you look at the mid-cap and the small cap still remain closed, even if you came up with a reopening on one of those, the strategy would be difficult to realize asset to this point. So we’ve always looked at realizable assets. And whether you’re open or closed one thing is, there is still asset, present a record and present trades that the assets would be realizable. So we have not made any decisions to open those two strategies.
Michael Kim: Okay, and then maybe just one last one for C.J. The margins have held up more recently, but just sort of given some of the ongoing investment spending that you alluded to earlier and some of the AUM headwinds potentially in the near term, and kind of factoring in sort of the ramp-up in equity comp, just trying to get a sense of sort of the outlook for margins as you look out over the next year or two?
C.J. Daley: Yes, I mean, certainly our margin has improved nicely since we went public. I think we’re 40.6 around the IPO and we’ve trended up to 45, as we continue to layer in equity based comp grant, that’s going to drive the margin down couple of hundred basis points. And especially in this first quarter where we have these seasonal expenses, healthcare, 401(k) contributions, flair contributions, and the reset on FICA. Our first quarter always is eroded 100 basis points or so. So, over time we expect growth to offset those and work our way back up. In the short-term you’re going to see some margin pressure there down into the lower 40.
Michael Kim: Okay, great. Thanks for taking my questions.
Operator: Our next question is from Bill Katz of Citi. Please go ahead.
Bill Katz: Okay. Thanks everyone. Good morning and I appreciate taking the questions. Just on, you mentioned that you are going to do some cautious marketing around the high-yield platform. Can you talk about the strategy of doing so? And are you going to tie the portfolio manager to it, or is it more so a branding opportunity? I’m just trying to understand the opportunity there.
Eric Colson: Bill, are you talking about the high income fund?
Bill Katz: Yes.
Eric Colson: Really, around the high income fund we see continued marketing and to the intermediary channel. We saw early success there last year and into continued into this year. As we hit the one-year track record the intermediary channel really looks for that one year period to be able to put it on to their platform. So I think we’ll see continued distribution efforts around the intermediary. And then also we’re starting to get some inquiries on the institutional side that we’re being reactive too. And I think with the one-year track record and over $500 million in the strategy, we’re starting to meet the hurdle for many of the centralized research to put our strategy into a buying position. So, we feel we’re in a good spot with that strategy and we’ll continue to see growth.
Bill Katz: Okay. That’s helpful. My second question is, looking at the slide that you lay out the non-U.S., and you wanted to show us both the AUM and the number of different relationships you have, and certainly a very nice trend. And maybe this is just bad math, but if you look at like the average size of the AUM per relationship, that number looks like it’s sort of small, if you will. And I know you have markets and maybe FX dynamics affecting all that. Could you talk about how scalable that is at this point in time? I’m just sort of curious why, given the very strong ramp in the number of accounts and relationships, you haven’t seen a deeper, a steeper slope, if you will, in terms of the AUM lift against that?
Eric Colson: We have a mixture of clients in that chart that shows the $13.9 billion in assets and 76 clients. And we’ve seen a few institutional clients go into the global opportunity strategy. And we’ve also seen us win some smaller accounts but they’re in the financial intermediary channel. So they feed those with some smaller allocations and then we’ll grow those with those advisors and brokers over time. So, I think the last couple of months, we’ve seen a little bit more interest by the intermediary channel outside the U.S. And they start with a smaller allocation. So, a few more accounts than normal and your average size is down somewhat bar-belled. Since you are new in this space, we are either getting attracted at the higher-end large institutional or starting to ease them to an intermediary.
Bill Katz: Okay. And then last question, thanks for taking all my questions. You didn’t mention anything about the fee rate. It looks like it ticked down about a basis point sequentially. How much of that was maybe market forces versus mix? And what’s the outlook going forward?
C.J. Daley: Yes, I mean, we’ve been trending around 76 basis points, 77 basis points. It’s bit of rounding. We had some, redemptions. We’ve seen some outflows in the U.S. value space primarily in the fund. And that has a higher fee rate. So there isn’t anything wholesale going on there. Earlier in the year we saw assets flowing into our global equity team in the mutual fund space, intermediary space. And during the end of the year we saw it flowing out of the outflows and the value team work coming from that space.
Bill Katz: Okay. Thanks for taking my questions.
Operator: Our next question is from Robert Lee of KBW. Please go ahead.
Robert Lee: Thanks, and good morning everyone, just curious, and going back to follow-up to Bill’s question, non-U.S. AUM. If I think back with, say, global value, you first closed it to institutional relationships before you closed it to more broadly, I guess, to retail or in the fund business. So is there, as global equity grows, as global opportunities we said, has had good demand outside the U.S. Is there anything on the horizon that we should be thinking about that, some of those more successful strategies right now, given your desire to control the mix of clients that could be some limiting factor on kind of growth outside the U.S. for a period of time?
Eric Colson: Robert, its Eric. No, right now the global opportunities, has a nice mix. It has had quite a bit of interests from larger institutional clients. But we wouldn’t, we’re right now not thinking about shutting down a segment or a channel to skew the mix. So that would continue. And the global equity strategy is really phases there with roughly $680 million in the strategy that has quite ways to go for that strategy. The global opportunity is a little over $5 billion. So, we’re not in a position on either one of those strategies that we would skew the mix versus global value today at over $15 billion. So, the short answer would be no.
Robert Lee: Okay. And I’m just curious to know on the RSUs or RSAs, the career shares, I’m just curious how - when you award stock, how that, what the kind of mix is between those career shares and more traditional grants? And to make sure I understand it correctly, when you award a career share so you awarded one on January 1, those immediately start vesting, assuming there is some longevity criteria that’s been met?
Eric Colson: Yes, I mean, from an accounting standpoint we start vesting the first year at the point of grant so that, that layer, if that layer is in the amortization layers in immediately. And the mix is generally on future grants, it’s going to be around 50-50. This grant was primarily to investment teams and they sort of met our threshold for receiving career shares. So it was largely 50-50.
Robert Lee: Okay. And maybe one last question if I could. So, I mean, clearly, you distributed about 100% of the earnings this past year in 2014. But I mean, looking forward, as you grant more shares or you start to have kind of share count creep up, so to speak. At what point or how you start thinking about share repurchase as part of the capital management mix? Is that something we should be thinking could become more part of the conversation in 2015 and 2016, just kind of trying to get your thoughts on that?
Eric Colson: Yes, I think it’s too early. We’re still trying to build our float. We’re only about 18 months into the IPO. So, right now we’re not discussing using any cash for share repurchase. I do think it will at some point probably another liquidity event or two, to be a conversation. And we’ll certainly try to give you guys a heads up when we’re thinking about that so you can sort of adjust your models. But either way, as a return of capital shareholder it’s just, in a different form. So, we certainly will consider in the future, but we’re not presently having those discussions.
Robert Lee: Great. Thanks for taking my questions.
Operator: Our next question is from Michael Carrier of Bank of America, Merrill Lynch. Please go ahead.
Michael Carrier: Thanks guys. I just wanted to, a quick question just on the build-out of strategies. So you brought on the credit strategy, and obviously it’s relatively short, but it’s been pretty successful from a short period of time. I just wanted to get a sense on the outlook over the next one to three years, where the priorities are, how active you plan on being, looking for any gaps or new talent?
Eric Colson: Michael, it’s Eric. And we feel that the credit team build-out has gone very well from back-office to distribution to the investment resources, as well as the talent that we recruited to join Bryan Krug. We’ve seen over the last 12 months, a very healthy dialogue going on in the marketplace with investment talent that resides either in the emerging markets or emerging markets equity or debt. We’ve seen a variety of alternative strategies that we feel fits them to the high value added space or high degrees of freedom that we would call it in, that would fit quite nicely into our business model. And we continue to make quite a few teams and individuals that weren’t follow-up discussions. So we’ll continue to meet with those groups. It takes time to find the right team with the right alignment of interest into our business model. And a strategy that we think fits long-term asset allocation. I think that last point, there is quite a bit of movement on in the asset allocation world of whether it’s going to be a risk based asset allocation or outcome based asset allocation. And the growth into the high network marketplace warrants, one of those two asset allocation models as opposed to the traditional asset allocation that we’ve probably grown up and experienced with over the last 15-20 years. So, we’re optimistic on it but obviously we want to make sure we get it right now, and that will take time.
Michael Carrier: Okay. Thanks. And just as a follow-up, C.J., just, in terms of the foreign exchange moves that we’ve been seeing in the market, just wanted to get a sense, each firm is a little different in terms of how they manage it or the impact that they can have. But both on the funds and then as you’re building out the international distribution, just how does that have an impact on the business?
C.J. Daley: Yes, there is a number of ways FX touches us. On the translation of our AUM, we certainly saw a negative impact in the fourth quarter given the strengthening of the dollar. And about 40% of our assets are overseas. So it was a bit more material this past quarter than it has historically been. Performance wise, it runs through our market appreciation line and really it’s part of the investment process. From a P&L perspective, obviously the lower AUM this quarter would impact that because the way we build on an average asset. But from a P&L perspective, our clients are largely built here in U.S. dollars and we only have handful that are built outside the U.S. So, it’s very immaterial from a P&L perspective.
Michael Carrier: Okay. Thanks a lot.
Operator: Our next question is from Eric Berg of RBC. Please go ahead.
Eric Berg: Thanks very much. There was one concept that I was hoping, Eric, you could review from your prepared remarks. I just would like to deepen my understanding of this idea of securities in and out of the benchmark and how that affected your performance? If you could just maybe just walk me through again the table on slide 6, just maybe picking one or two numbers from the table and as illustrations for how this table works? I need a little help understanding it. Thank you.
Eric Colson: Sure Eric. Now first on the in and out of index, and we did quite a bit of attribution across all of our strategies. And some of our strategies which we’ve highlighted in the past around emerging markets invest in quite a few names that are not in the MFCI emerging markets index. And given the asset flows into indexes and given the price momentum there has been a nice upward push on the returns of those names versus names outside of the index. So, if we had 30% of our portfolio of say of 100 stock portfolio, those out of the index and those 30 stocks underperformed the index names by quite a bit. And then we went across all of our strategies and took a look at in-index and out of index names. And to the most part across every one of our strategies, the out of index names dramatically underperformed on average versus the names in the index, which would sense them given last year’s factor weighing towards momentum. With regards to the chart there, we’ll just take small cap values because those are the most extreme. But that first column there on small cap value, if we took the, all the managers that ranked in the top quintile of their peer group during the bear market, so that April of ‘08 to March of ‘09. And took that group of managers and ranked them then during the current run, the current bull market run of March of ‘09 to now, that group of top cortile managers during the bear market on average was in the 88 percentile over the current run. And the managers that were performing in the bottom quintile of that bear market period during this bull-market run are in the 18th percentile. And the quintile spread there is obviously the differential of 71. It was the most extreme market or the most extreme peer group there. And that’s where we have seen our small cap values that did quite well during the bear market, has been lagging during this bull-market run. And we’ve always said we’re going to participate in the bull market but we’re, the small cap value strategy is not a momentum oriented strategy and has lagged quite a bit. And that’s been the case for quite a few small cap value managers. We’re not looking to make excuses here, but we clearly think there is an exaggerated fact during the marketplace that’s creating some end-point exaggeration across the group.
Eric Berg: Very good. That helps me out a lot. Thank you again.
Operator: Our next question is from Chris Shutler of William Blair. Please go ahead.
Chris Shutler: Hi guys, good morning. First, I just want to get an update on the flows thus far in the month of January, recognizing that that’s a very short period of time. And on the institutional pipeline, just how that’s looking. So RFPs final is one, but not funded? Thanks.
Eric Colson: Yes, certainly Chris, I think we’re releasing our January flows in a couple of days here. And what we’ve been seeing so far is pretty much a consistent trend of what we saw in the third and fourth quarter. And I would say that’s true for the pipeline as well that institutional marketplace has been rebalancing. And third and fourth quarter results that we saw from flows and the third and fourth quarter pipeline is carrying into January.
Chris Shutler: All right. Thanks, Eric. And then, you touched on the appetite for potential new teams and meeting with several individuals and teams. But any update on the appetite of your existing teams to roll out new strategies?
Eric Colson: We’re always in constant dialogue with our existing teams. But we have no near-term plans here to rollout a new strategy within any of the six teams right now.
Chris Shutler: Okay. And then, just lastly, the global equity strategy is sitting here at $680 million. In a top-upper docile on a three-year basis, I think it hits its five-year here in April. I know you had the PM departure issue a couple of years ago, but what’s the catalyst in your view for that taking off because the long-term performance is very good?
Eric Colson: We think you are correct. The five year number hits in March, at the end of March. So going into second quarter will have a five-year record. And typically in the mid-to-large cap categories you need a five-plus year record versus capacity constrained areas such as small cap. The trigger is a three-year record, sometimes shorter, given the strategy. And with the five-year record and now $680 million in the strategy and the performance over the last couple of quarters have been quite strong. And the time lapse from our portfolio manager turn that you brought up, there has been a couple of years. We think we’re pretty well positioned there for growth, especially outside the U.S.
Chris Shutler: All right. Thank you.
Operator: This concludes our question-and-answer and conference call. Thank you for attending today’s presentation. You may now disconnect.